Operator: Good morning. My name is Betsy and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Granite Construction Investor Relations Fourth Quarter 2021 Conference Call. This call is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions]. Please note we will take one question and one follow-up question from each participant today. It is now my pleasure to turn the floor over to your host, Granite Construction Incorporated Vice President of Investor Relations, Mike Barker. Please, go ahead.
Mike Barker: Good morning and thank you for joining us. I'm pleased to be here today with President and Chief Executive Officer, Kyle Larkin; and Executive Vice President and Chief Financial Officer, Lisa Curtis. Please note that today's earnings presentation will be available on the Events & Presentations page of our Investor Relations website. We begin today with an overview of the company's Safe Harbor language. Some of the discussion today may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are estimates reflecting the current expectations and best judgment of senior management regarding future events, occurrences, opportunities, targets, growth, demand, strategic plans, circumstances, activities, performance, shareholder value, outcomes, outlook, guidance, objectives, committed and awarded projects, or cap and results. Actual results could differ materially from statements made today. Please refer to Granite's most recent 10-K and 10-Q filings for a more complete description of Risk Factors that could affect these forward-looking statements. The company assumes no obligation to update forward-looking statements, whether they are results of new information, future events or otherwise, except as required by law. Certain non-GAAP measures may be discussed during today's call and from time-to-time by the company's executives. These include, but are not limited to, adjusted EBITDA, adjusted EBITDA margin, adjusted net income or loss and adjusted earnings or loss per share. The required disclosures regarding our non-GAAP measures are included as part of our earnings press releases and in company presentations, which are available on our Investor Relations website. Now, I would like to turn the call over to Kyle Larkin.
Kyle Larkin: Thank you, Mike, and good morning, and welcome to our fourth quarter earnings call. Three weeks ago, we announced several important steps as we continue to implement and drive forward our new strategic plan. I'll briefly touch on our strategic plan in a few minutes. But let me begin with a review of the steps that were announced. First, we signed a definitive agreement to sell Granite inliner, and we expect that transaction to close as previously reported. Secondly, we also announced our intent to sell water resources and mineral services businesses. Granite inliner, water resources and mineral services comprise our former Water and Mineral Services or WMS operating group. With these announcements WMS has now been reported as held-for-sale and in discontinued operations in our financial statements. Our company has been through a lot the past few years; we are acutely aware of the need to learn from our recent struggles so that we can improve our performance and create value for all our stakeholders. This was our focus as we revisited our strategic plan over the past year. As our new management team came together and discussed the direction of our organization, it was clear that our company's core competencies lie on our civil construction and material businesses. All the information that we study confirms my belief that Granite's future should be built around return to our core skillset. This is what we have done for 100 years and we're one of the best contractors in the country. As a result, we concluded that our success depends on our team being focused on building our core businesses, and focusing all of our efforts on supporting and aligning the company, with our civil construction and materials business. This is why we decided to divest of the WMS businesses with full support from our Board of Directors, and focus our energy and resources on our core competencies. We believe this is a simple decision that is in the best interest of our shareholders. Divesting in these businesses, bolsters our cash position, and allows us to strategically invest in new opportunities to grow both organically and through acquisitions. We will be in position to invest additional capital in developing our people and upgrading our equipment and technology. These investments will create economies of scale, both in operations and in support functions. We will then be in a position to grow a familiar predictable business model, one that we have run successfully for a 100 years. Our future is now truly going to be built by leveraging upon our past. With the planned divestitures of the WMS businesses we also announced a change in our reportable segments from transportation, water, specialty, and materials to our new segments of construction and materials. We identified our reportable segments based on how we manage the company through the allocation of capital, and how we measure and assess performance. With our new strategic plan, we are shipped away from end markets to focus on our core civil construction and materials business. We will continue to operate in a variety of end markets, including transportation projects, private site development projects, mining projects, and water-related construction projects such as dams and spillways. All of these projects, importantly, are bid and built by our teams utilizing the same core competencies that underpin all of our work. Granite strength has always been the ability of our teams working in their home markets to leverage materials resources, and local market knowledge to gain a competitive advantage than the markets where we operate. Strengthening and growing these home markets across our geographies, and leveraging our expertise to secure high-value projects at both public and private customers is the core of our strategy that will lead Granite to achieve consistent profitability and growth. We also announced the reorganization of our operating groups from five to three operating groups to California and Mountain from the Northwest operating groups remain largely unchanged with the exception of the shift of our renewable energy business into the Mountain Operating Group. The central operating group is a combination of the previous Heavy Civil, Midwest and Federal operating groups with the addition of the Arizona region that was previously in the former Northwest group. As a Central operating group, our former Heavy Civil Group businesses will adopt a more focused home market strategy, built upon the strengths of our Texas and Florida market areas. We believe this change will allow these regions to capitalize on the benefits of our proven home market model. This is the next phase in the transformation of the former Heavy Civil operating group. The project selection criteria other opportunities we are pursuing in the Central group have been transformed. And now we are shifting the focus to strengthening our home market presence in these key and growing states. This transformation will take time will not occur overnight, but we believe, we have the right teams and strategy to develop these markets in the image of our California and Mountain Groups. Finally, we announced an increased authorization in our share repurchase program, resulting in an authorization for up to $300 million in purchases. We have maintained strong cash and liquidity position through 2021, and with the proceeds from the expected divestitures of the former WMS Group, we should have additional flexibility to invest in our business and return value to shareholders through share repurchases. Now, let me briefly talk about our new strategic plan and its key themes. And in near future we would go into much more detail on our new strategic plan where Granite is going in the next few years. There are four themes to our new strategic plan: develop our people, raise the bar, grow market share, and maximize Granite Value Add or GVA. Our people and refresh core values are the foundation of Granite strategy. The develop our people theme is centered on that foundation. There's incredible demand and competition for people at all levels of our organization. In a strong macroeconomic market with low-levels of unemployment, we need to not only retain our people, but also to focus on their development to achieve the growth that is possible as a result of the increasing infrastructure funding. We believe our renewed focus on our core competencies, as a civil contractor will assist us to be more effective in sharing resources, developing leaders using standardized processes and best practices. Our next theme of raising the bar is centered on our unrelenting focus on execution and process efficiency to drive profitability. We have talked a lot over the last year about the significant changes we made in our project selection process, and the types of projects we are pursuing compared to previous years. We have made tremendous progress in this area as we transform the mix and quality of our CAP. We expect to see benefits in 2022, but even more in 2023 and 2024, as some of our lower risk best value projects, such as Construction Manager/General Contractor or CMGC projects have an extended initial construction manager timeline that typically lasts over one year before the construction contract is awarded and construction work commences. We have also experienced certain project execution issues that have prevented us from achieving the levels of consistent profitability that we should be delivering each period. Within this theme of raising the bar, we are focused on driving improved and consistent execution with renewed focus on standardized requirements and best practices across all of our businesses. We believe this focus will translate into improved profitability. Finally, this theme also includes our efforts to drive efficiency within SG&A. While we have made good progress, SG&A remains an area of continued focus. The third theme is grow market share. A key conclusion of our strategic plan is that we perform best when we utilize our home market competitive advantages. This has been demonstrated over Granite's history by the performance of our vertically integrated businesses. Unfortunately, the typically strong performance of our vertically integrated businesses have recently been overshadowed by losses on higher risk, large project awards and old risk portfolio, or ORP. We intend to invest in our vertically integrated business model organically and through M&A to strengthen and expand existing home markets and to establish new home markets. We see many opportunities to invest in our home markets, such as to acquire additional material reserves and equipment, as well as opportunities for bolt-on acquisitions. Our liquidity and balance sheet provide us the ability to invest in our business; we intend to do so in 2022 and beyond. The final theme of our strategic plan is maximize GVA. This theme pulls together the impacts of the strategic plan by and through growth in terms of earnings, consistent profitability, and capital management or in other words, bringing value to our stakeholders. As I mentioned, you'll hear much more about these themes and our new strategic plan in the near future. So stay tuned. Now let's talk about our Construction segment. As a reminder, this segment includes all construction projects across the company excluding the former WMS Group, which is now presented in discontinued operations. For fiscal 2021, approximately 41% of construction revenue was earned by the Central Group, 32% came from the California Group, and 28% came from the Mountain Group. In the Central Group, revenue declined $87 million in 2021 compared to the prior-year as work progressed through the ORP. As I've discussed this past year, our focus has been to transform the Group by completing the ORP as we pursue projects that meet our new project selection criteria. We have made substantial progress in this transformation and we continue to work to build new backlog that should deliver the returns that we expect. The decreases in revenue in the group, which were intentional, were partially offset by increases in revenue in the vertically integrated Arizona region. Based in Tucson, our Arizona region expanded to open a second office in Phoenix in 2021. These region offices serve customers throughout Arizona and New Mexico. The market and opportunities are significant in the Arizona region and our organic expansion in Phoenix reflects the implementation of our new strategic plan. The California Group comprised 32% of our construction revenue for fiscal 2021. Revenue decreased $106 million in this group from the prior-year; there were several factors that contributed to the decrease in revenue. The first factor was the record results recognized in the second half of fiscal 2020. This was led by the acceleration of projects as we work with owners to gain accommodations arising from the pandemic lessen traffic conditions. With these accommodations, our crews were able to complete a significant amount of work on our CAP in the third and fourth quarters of 2020. The second factor reducing revenue in the California Group was an increase in weather-related disruption in the fourth quarter of 2021. This contrasts with a dry fourth quarter of 2020. Lastly, in the third quarter of 2021, I mentioned the impact on revenue we were experiencing as result of extended competitive environment during the first half of 2021. The result was a reduction in revenue in the third quarter that carried over into the fourth quarter. While these combined factors reduce revenue for the California Group in the fourth quarter, and the fiscal year 2021, our outlook for the state is still very bright. Funding and budgets are strong and we carry strong CAP into 2022, which I will talk further about in a few minutes. Finally, the Mountain Group finished 2021 strong with 28% of our total construction revenue, an increase of $31 million from the prior fiscal year. Driving the year-over-year increase in revenue were the Nevada, Washington and Utah regions, coupled with the Renewable Energy Division, all turning in strong performances. We have longstanding and established vertically integrated businesses in these regions, and they all represent growing markets and opportunities for us to build upon. Our Renewable Energy division operates across the U.S. and primarily focuses on installation of solar power generation and battery storage facilities. Granite has a strong presence in this growing market, which has been fueled by the U.S. government's push to expand the nation's shift to renewable energy sources. Now on to our construction CAP which ended the year at $4 billion. As a reminder, this is only CAP is continuing operations in the California, Central and Mountain Groups and excludes CAP from discontinued operations or WMS. CAP of $4 billion represents slight decreases from the third quarter and the prior-year of $55 million and $50 million respectively. On the slide you can see two different views of our CAP, by procurement type and by operating group. These are two key ways that we measure and assess our project portfolio mix and quality. The CAP by procurement type provides a view of the percentage of CAP in the bid-build, design build and best value procurement types. Bid-build is a procurement type business commonly used by departments of transportation and other municipalities when letting projects. Bid-build is when the project owner is responsible for the design of a project and typically the lowest bid wins the job. This procurement type is widely used throughout our markets, particularly on smaller, quicker trend projects that we typically construct by our vertically integrated businesses. In the last two years, the percentage of bid-build projects in our CAP has remained consistent, and we expect bid-build work will remain the majority of our project portfolio mix. Design-build procurement is frequently used for larger projects and allows project owners to more quickly release projects to contractors. Contractors are responsible for design risks, and construction risks and bids are often submitted with approximately 30% of the design of the project completed. This procurement type introduces more risk to the contractor who takes responsibility for the majority of the design of the project. Historically, Granite was a joint venture partner on very large design-build projects. These projects now represent the majority of our remaining ORP and were the impetus for development of our new project selection criteria. Over the last two years, CAP consisted design-build projects has been reduced by over half as we continue to complete the ORP. We expect that design-build will remain a component of our CAP in the future. However, we intend to target such projects in our home markets where we can leverage our team's local knowledge and where we can -- we are fairly compensated for the additional design risks inherent in this procurement type. In best value procurement projects, contracts are primarily selected based on qualifications and experience and awards are not solely based on low price. Similar to design-build this procurement type also allows project owners to release projects to contractors much quicker and bid-build is the design and construction of the project is a collaboration between the owner and the contractor. Best value projects have longer lead times, including pre-construction phase work that can last several years before the actual construction begins. Granite has been very successful in procuring best value projects due to our project team's strong qualifications and experience. We have increased the percentage of this type of work in our project portfolio over the last two years. We believe this procurement type due to the collaborative nature of the relationship with the owner allows us to provide a high-level of value and simultaneously to mitigate risks before they rise to the level of a legal dispute or claim. We're very pleased with the increase of best value procurement in our portfolio, and expect it will continue to be a significant component of our CAP in the future. The next view of our CAP is by operating group. When we review our CAP, we look at diversification by risk and contract type, but also geography. For the last two years, you can see the reduction in CAP in our Central Group including the ORP within the Central Group. Keep in mind that this group now includes our vertically integrated Arizona region, our formal federal division, our civil division in the Chicago region, and our Texas and Florida regions. But the reduction of ORP CAP in the more selected new project selection criteria, the Central Group's CAP as a percentage of our total has decreased by 17% in the last two years. As we remain diligent in transforming the project mix in the Central Group, we expect their CAP to stabilize or grow modestly in 2022. Offsetting the decrease in Central Group CAP is the increase in both California and Mountain Groups. The increase in CAP in these groups reflects the strong economic and funding environments in those markets as well as the success we have demonstrated to owners in adding value and thus be selected as partners in the best value procurement projects. We're excited when we look at the transformation of our CAP. Now we are positioned going into 2022 as a stronger portfolio with less risk that Granite has had in recent years. We are not only pleased with our CAP in our largest markets in California, but also across the country. I believe we are very well-positioned with our new home market strategy to grow our CAP as funds are distributed from the federal infrastructure bill and allocated to DOTs, municipalities and state agencies. Now turning to the Materials segment, where although the materials business was impacted by wet weather in the fourth quarter, we finished the year with an annual revenue increase of 12% over the prior year driven by higher volumes across the operating groups. For 2021, other group volumes increased by 11% and asphalt increased by 6% over the prior-year. During 2021, we derived approximately 65% of our materials revenues from asphalt sales. These percentages are calculated on a gross basis and include not only external sales, but also internal sales of higher get to our asphalt plants, as well as sales of asphalt to our construction projects. A significant component and variable in asphalt production is liquid asphalt, which has had multiple pricing along with other oil-related products over the last two years. In 2020, we saw a benefit in our results from lower costs for liquid asphalt. In 2021, oil prices increased throughout the year and into 2022. While we apply measures such as bulk purchases, forward contracts, and other hedging to mitigate our exposure to oil prices, we did experience a negative impact in our results from rapidly rising oil prices during 2021. In 2022, we continue to see rise in oil prices due to the concerns over the economy and the conflict in Eastern Europe. We will continue to closely monitor oil prices and apply measures to mitigate risks. Now I'll touch on the market and what we are seeing in terms of funding and the economy. At the federal level, in November of 2021, the Infrastructure Investment and Jobs Act was finally signed into law after being in discussions for many months. This law represents a generational investment in the critical infrastructure needs of the country. The bill provides $550 billion in incremental funding over five years, including $284 billion for transportation and $261 billion for utilities. This funding is for a wide variety of infrastructure needs, many of which Granite participates in directly or indirectly, from roads and bridges, airports and water ports to power and water construction. As a diversified civil contractor, we believe, we will benefit from additional funding for many different types of projects. The bill is also expected to drive economic expansion that should benefit the private market. Granite has steadily built upon relationships with private market clients over the last several years in various industries from mining and renewables to tech companies and should benefit as these clients expand their footprint in a strong economic environment. At the state and local level, our markets vary based on geography. But there's general continued support from voter-approved transportation measures. We believe the environment is healthy. We expect that once Congress funds infrastructure bill to appropriations, more activity and opportunities will be generated as 2022 progresses. However, a more meaningful impact should occur in 2023 and 2024. Now, I'll turn it over to Lisa to go over our financial results.
Lisa Curtis: Thank you, Kyle. For fiscal year 2021, revenues from continuing operations decreased 4% from the prior-year, while gross profit improved slightly, resulting in a gross profit margin of 10%. In the Construction segment, full-year revenue from continuing operations, declined $162 million year-over-year to $2.6 billion. This decrease reflects lower revenue in our Central and California Groups. In the Central Group, we experienced an expected revenue decline this year as we transform the Central Group's project portfolio. The California Group revenue also saw a decrease resulting from several factors, including an extended competitive bidding environment in the first half of 2021 and inclement weather in the fourth quarter of 2021, particularly as compared to 2020. The California Group results for 2021 are also contrasted against a very strong second half of 2020, where the group had record revenues. While revenues are down year-over-year, we believe there is underlying strength in California, as demonstrated by the Group's CAP. Construction segment gross profit for the year increased 3%, resulting in a gross profit margin of 10%. This increase in gross profit was primarily driven by a decrease in ORP losses year-over-year, which is partially offset by the impact of several factors, including reduced margins on certain projects from project execution and margin pressure from the extended competitive bidding environment during the first half of 2021. The ORP ended the year with remaining CAP of $319 million, which is higher than our previous projections of $275 million. The variance is due to progression of projects lagging original expectations, and write-downs incurred in the fourth quarter. Fourth quarter and full-year 2021 net ORP losses to Granite, which excludes non-controlling interests were $16 million for both periods on revenue of $66 million and $385 million respectively. This compares to a loss of $81 million on revenue of $410 million for full-year 2020. The fourth quarter illustrates the complexity and risk of these challenging projects and continues to support and validate our new strategy. During 2021, we reduced ORP CAP by $358 million, leaving $319 million going into 2022. Only one project in the ORP has CAP in excess of $50 million at this point. And the majority of the project should be completed in 2022. We expect that we will have approximately $50 million of ORP CAP that will remain at the end of 2022 and carried into 2023. This figure remains consistent with our previously communicated expectations. In the Materials segment, our teams completed a strong year despite the inclement weather in California in the fourth quarter. For the year, the Materials segment revenues increased $43 million or 12% led by strong aggregate and asphalt volumes throughout the year. Materials gross profit for the year declined by $6 million, with a gross profit margin in 2021 of 14% compared to 17% in the prior-year. This decrease in margin is largely due to the benefit received in 2020 from lower liquid asphalt costs. Turning now to our non-GAAP financial metrics, adjusted EBITDA margin from total operations, which includes both continuing and discontinued operations, was 6% for fiscal 2021 compared to 5.1% for 2020. We ended the year at the low-end of our guidance as two risks we discussed during the year materialized during the fourth quarter, those being the ORP performance and fourth quarter wet weather. Adjusted EBITDA and EBITDA margins from continuing operations for fiscal 2021 was $163 million and 5.4% compared to $153 million and 4.9% in the prior year. For fiscal 2021, combined SG&A, including discontinued operations ended at 8.7% of revenue, which was in the middle of our guidance of 8.5% to 9%. SG&A from continuing operations ended the year at 8.1% of revenue. Adjusted net income from continuing operations for 2021 increased $10 million year-over-year to $61 million or adjusted diluted earnings per share of $1.33 compared to $1.12 in 2020. For fiscal 2021, 1.3 million potential shares were added back to diluted weighted average shares outstanding, representing the diluted effects of our convertible notes, which is offset by a purchase equity derivative instruments. Now, turning to our cash and financial position, operating cash flow for fiscal 2021 decreased to $22 million compared to $268 million in 2020. There were several factors that drove the decrease in cash flows. For fiscal 2020, operating cash flow benefited from approximately $70 million of claim settlements and favorable impacts in working capital, while fiscal 2021 was impacted by the securities litigation settlement and non-recurring legal fees of $88 million. As of the end of the year, our cash and marketable securities remain strong at $411 million, and our revolver availability stands at $232 million with no debt currently drawn on the revolver. Our liquidity position will be further strengthened with the closing of the inliner divestiture, and later in the year, we also expect cash inflow with the planned divestitures of water resources and mineral services. With our liquidity position and increased share repurchase program authorization up to $300 million, we expect to pay down debt and deliver value back to our shareholders in 2022. Now I'd like to discuss our 2022 outlook and guidance before turning the call back over to Kyle. In 2022, we expect low-single-digit revenue growth compared to 2021. Our assumptions are driven by expected increases in revenue in the California and Mountain Groups, which will be partially offset by a decrease in the Central Group, as projects and the ORP are completed and the Central Group focuses on pursuing work in home markets, which fit with our project selection criteria. While we expect to build backlog during the year, as more projects are released with the increased funding from the federal infrastructure bill, the benefits of this on our CAP will more meaningfully translate into higher revenue in 2023 and beyond, and is not expected to be as impactful in 2022. We are excited about our markets and the industry's outlook over the next several years as the nation makes this generational investment in infrastructure. We are well-positioned in growing markets across the U.S. and are ready to build on our CAP portfolio in 2022 and beyond. We expect adjusted EBITDA margin from continuing operations to improve in 2022. We ended 2021 with an adjusted EBITDA margin from continuing operations of 5.4%, and our guidance for 2022 is a range of 6% to 8%. In 2022, we anticipate the completion of a majority of the ORP projects and have assumed zero margin in our guidance. We expect SG&A expense from continuing operations to remain largely consistent with the level in 2021. And we are providing a guidance range of 8% to 8.5% for fiscal 2022, as we work to eliminate stranded costs related to the planned divestitures, and also work to position ourselves to capitalize on the new infrastructure funding. We remain focused on gaining efficiency in SG&A and believe we will be able to achieve greater economies of scale with our renewed focus on our civil construction and materials business as we standardize and grow the business in 2023 and beyond. Finally, we expect our effective tax rate from continuing operations to be in the low to mid 20% range and capital expenditures in the range of $100 million to $115 million. This increase in capital expenditures compared to 2021 primarily reflects expected investments in technology, in our materials business, to reduce our production costs, and to expand our aggregate reserves. Our materials business remains a critical component of our vertically integrated home market strategy and we intend to be strategic in investing organically and through M&A to enhance and grow our footprint. With that, I will turn it back over to Kyle.
Kyle Larkin: Thanks, Lisa. I'll close with the following points. I'm disappointed with results of our fourth quarter, particularly the losses occurred in the ORP. The good news is that we expect to burn through all the $50 million of the ORP in 2022. We fully appreciate the importance of mitigating the risks associated with these projects, and our team remains laser-focused on their completion. We all understand the importance of getting these projects behind us and executed, so that we don't have a repeat of the performance to be experienced in the fourth quarter. We are well on our way in the implementation of our new strategic plan that will allow us to focus on what we do best. Civil construction and materials work in our home markets. We believe that this return to our core strengths will result in a profitable business to provide consistent returns for our shareholders. We move into 2022 with a transform CAP portfolio that has been built to our initiative to pursue best value procurement projects, and reduce exposure to risky design-build projects. I believe we will see the financial benefits of this transformation in 2022 through higher levels of profitability. Our cash and liquidity position remains strong and will grow stronger as we complete our announced divestitures. We will be strategic in investing in our business, and we are positioned to return back to shareholders through our expanded share repurchase program upon closure of the divestitures. Finally, with the passing of the infrastructure bill in the fourth quarter, we believe our business will continue to grow as funding makes its way to state and the project lettings in the second half of the year. Operator, I'll now turn it back to you for questions.
Operator: [Operator Instructions]. Our first question today comes from Brent Thielman with D. A. Davidson. Please go ahead.
Brent Thielman: Okay, great. Thank you. Hey Kyle, I guess my first question would just be on the water portfolio, recognized some of these assets were generating the returns, I think you sort of expected them to get to. Just want to kind of come back to why now, in terms of the rationale to sell some of these businesses and if possible, if you can offer any range of what you might expect for the two remaining businesses in terms of what that could bring to Granite in terms of new capital, that that'd be great?
Kyle Larkin: Sure. Well, yes, good morning and thanks for the question. When we look at WMS, we spent the last good part of last year working on our strategic plan as a company and we were very closely with the risk committee and our Board in terms of the process, looked at lot of data, looked at all kinds of information, looked at internal and external. And what it all came back to was really focusing on where we know we do well, where we're successful, and how we're successful. And that really came back to our core civil construction business and our materials business. And really, kind of our home market strategy. And those are the attributes where we do best. And WMS just didn't fit. And so we decided to really divest that portion of our portfolio. So we could reinvest back in our core business and line ourselves up for success moving forward so that that was really the impetus for the sale. In terms of the amount that we anticipate for the remaining two businesses that's to be determined. We just started the process. So we're hopefully going to have something that we could announce later this year, but it's too early to tell at this point in time.
Brent Thielman: Okay. And then the 6% to 8% EBITDA guidance, margin guidance, obviously still reflects the impact of the ORP portfolio. Maybe just a refresh of what you still expect from the kind of the ongoing business as we get beyond that sort of more on a normalized basis when sort of ORP rolls off?
Kyle Larkin: Yes. I think for us, we see ourselves longer-term towards that 9% to 10% EBITDA margin type business. Obviously, we have to get through this ORP and certainly get that behind us. And I mean the good news is we are seeing that portfolio wind-down at really the pace we thought it would, for the most part, obviously we weren't pleased with how we performed in Q4. But we are looking at that portfolio getting behind us at the end of the year where backlog around $50 million. And we have really two active projects at that point in time. And one is actually in a profitable position. So we are pacing to get the ORP behind us. And then we can really move the business forward in the direction that we're working towards. And if we look at that longer-term guidance, I can tell you the market seems to be improving. We like what we're seeing. And we think by allowing ourselves to really focus on our core business driving improved execution, and get even better at what we're good at. But we think that's going to be how we get to that 9% to 10% EBITDA margin.
Operator: The next question comes from Steven Ramsey with Thompson Research Group. Please go ahead.
Steven Ramsey: Hi, good morning. Kind of stay on this margin topic SG&A at 8% to 8.5% includes ORP, is there a way to think about what this looks like excluding ORP would it rise as a percentage of sales somewhat or even decline?
Kyle Larkin: Well, what we've been doing is actually offsetting the decline in ORP with our vertically integrated businesses out in the West. And we see that will continue. But we're also transforming what was the Heavy Civil Group and now it's the Central Group and focusing them in on their home markets. And we are starting to see results. So we're starting to see certainly in Texas, our ability to pick up work on a lot smaller type contracts that fit us very well. So I think the teams are doing a really nice job of transforming beyond just not pursuing big mega project design, build jobs, so really transforming into a home market strategy. So I think as we look forward, and certainly we're well-positioned for the infrastructure bill, and will come out later this year, in terms of lettings, we expect that we're actually able to grow, we would anticipate that our SG&A will actually improve. So that's how we're looking at it.
Steven Ramsey: Okay, okay, helpful. Helpful. And then on that Central Group transformation revenue headwind in 2022, is that purely ORP and then I guess should the transformation of the Central Group proved successful? Is there a way to quantify kind of the gross margin, or SG&A benefit to the Construction segment from that happening and is there a timeline associated with that?
Kyle Larkin: I'm not sure I'm totally following the question. So you're asking --
Lisa Curtis: So for the -- so Steven, this is Lisa. So you were asking about so for the Central Group kind of the change in the revenue going into 2022, that is going to be impacted by a lower ORP burn. We burned through about $358 million of ORP CAP in the current year. And we're going into 2022 with about $319 million. So our expected burn is about $270 million in 2022. So that is a component. But we are transforming that portfolio and shifting it to more of our home market focus. So as that transformation happens, and we stick to our new project pursuit criteria, there is some decline that we are anticipating in our guidance related to Central. So those are kind of the key components. So that may be the first part of your question. And there may have been a part two that we missed.
Steven Ramsey: No, that is helpful. Yes, I guess, yes, that's helpful. What I'm getting at then is the margin benefits or headwinds in 2022 and as a launch pad to next year, is the Central Group ready to grow with this new discipline and track it takes for its strategy?
Kyle Larkin: Yes, okay. I get where you're headed there. So the ORP that we have burning through 2022 is really at a breakeven. And so we look forward, we expect the margins within the ongoing Central Group to be just in line with where we are in the other parts of our business. So we anticipate growing it. There will be employees coming off of projects and going on to the bench, so that's a little bit of why you see a slight uptick in the SG&A off of last year's results, so we anticipate there's going to be opportunities to put those employees to work on projects as infrastructure bill comes out. But in general, we expect our margins in the Central Group to be really looking very similar to what we see out in the West.
Operator: The next question comes from Michael Dudas with Vertical Research Partners. Please go ahead.
Michael Dudas: Kyle, could you share your thoughts on you see pretty happy about the CAP that you're going into 2022? How does the margin that's booked into that CAP heading into 2022 compared to what you're going into 2021. And on top of that can you share, you mentioned about the competitiveness in 2021, how's it look today, as less competitive, more competitive, is that going to be a hindrance, because of your new selectivity until some of this federal funding starts to flow-through more aggressively to help fill some of those competitors backlog?
Kyle Larkin: Sure. And you look at the CAP, I mean, I can tell you, as we wind-down the ORP, and maybe replacing the CAP with quality CAP in our VI businesses, and even in Central Group with new work, the quality of our CAP is a lot better than what we've seen year-over-year. So we're excited about the CAP for sure. As you look at kind of back in the prepared remarks, in the presentation, a big shift is that move from design-build two years ago, around 25% of our portfolio, and now we're sitting right around 10%, so that that risk profile of our CAP has changed dramatically. And we've also, our best value component has gone from 24% two years ago to 46%. And we know we do very well on these best value projects. So we're excited about our CAP and we're moving the company forward in that regard. And to your question around the market last year at this time, we were kind of walking into Q2, Q3 where we saw that market in the competitive landscape, we made more competitive than it usually does in the Q2 and Q3 and we shared that part of it was lettings start slow, private lettings, public lettings there is some really trying to figure out where things are going with the infrastructure bill, the pandemic inflationary pressures, supply chain issues, things were a little bit different a year ago than they are today, what we've seen in the last three or four months, we've seen the bid volumes go up, which is very encouraging. We're seeing that in really every one of our markets. So that's encouraging. We're picking up about the same amount of work. But the really good news is our margins are a little bit higher. So we see all the indicators are pointing in the right direction right now. And we'll see how things progress. But we are excited about our market. So overall, I say they're all looking strong. Obviously, some are stronger than others. But for me, we are in a healthy position today.
Michael Dudas: And when you think about the positive risk profile shift in your backlog with less design-build, more best value, which I understand is that an overall net positive, neutral, negative to absolute margin and expectations of generating that margin?
Kyle Larkin: Yes, our expectation is margins will increase certainly. I mean, that's, we need these design-build projects that we've been building for years. Some of them go back to 2000, really maybe 2012. And so these projects that design-build criteria, the margins didn't deliver. Based on our CAP today, we're feeling very confident around the quality of our CAP.
Michael Dudas: That's encouraging. And my follow-up question would be, so I think in response to a question in your remarks, you talked about your share repurchase program that's expanded and your capital spending for the year. And you mentioned you are comfortable maybe executing on that program. Do you feel you can do that now given with a cash and balance sheet, do you have to wait for the proceeds to come in on this transaction, you have to wait to both transactions get closed? How are you guys thinking about that on the pace given where the valuation stock is coming? And then with the pace of M&A and opportunities especially maybe in that Central Group where you may want to or you think about adding more materials backward integration to kind of make it a lot more structurally like your vertical business that you had. Is that going to be a product simply had a lot of moving parts with the cash and also what the drain on cash would you expect from the new options in 2022, so just give me -- just give us sense on how that's been that efficient?
Lisa Curtis: Okay. Hey, Mike, this is Lisa. So I'll touch on your question about liquidity and our share repurchase. So, we ended the year strong with our liquidity position. We had year-end cash a little over $410 million. And then we did announce that we received the increase authorization from the board in early February, related to our share repurchase programs, to increase that up to $300 million. So we're really positioned nicely to be able to take advantage of that. So we're keeping an eye on the market. We don't have specific timing at this point. But we expect it in the near-term. So we're keeping an eye on the market, and we are monitoring for appropriate opportunities. We also talked about that in the prepared remarks anticipation of paying down debt. So with Granite, we -- our liquidity position has remained strong, even through the past couple of years and some of the challenges that we anticipated. We also do not have any borrowings drawn on our revolver. So we have full capacity related to that. So that's from a just overall balance sheet and liquidity position we're sitting strong. To then ultimately, when we close on the inliner transaction in the near-term, we'll have an infusion from cash related to that. And then we'll be able to act accordingly between a balance -- between debt pay down and actually returning value back to shareholders through share repurchases.
Kyle Larkin: So maybe, and then I'll piggyback and talk a little bit about what we're doing in terms of reinvesting back in our business. And maybe when we talk about Central or so any part of our business today, we're looking at strengthening our existing home markets. So that's going to be kind of our first step over the next year or two. We see opportunities to invest in agate reserves. We talked about technology earlier in automation. We see an opportunity to lower our cost produced in our materials business and many of our facilities, you'll also see opportunities to do smaller bolt-on M&A deals within our existing footprint. So we're really looking today at strengthening and supporting, even growing our existing home markets. And that could be even within say Texas or Florida. And again, a home market for us is where we have really the labor, the equipment, the materials resources, we have the relationships, we have the market intelligence. We're in those markets, and we're part of the communities. And so we want to ensure that we're strengthening those the best we can. And really, I would say in 2024 and beyond, that's when we'll start to be prepared to do something more transformational as a company in terms of M&A, but today, it's really about strengthening and supporting our existing home markets and growing them.
Operator: The next question comes from Brian Russo with Sidoti. Please go ahead.
Brian Russo: So, we've heard from some of your segment peers regarding the general optimism on DOT in state lettings throughout 2022. Just based on tax revenues, or leftover cares subsidies, et cetera. Maybe you could talk about; you have the large market in California, and how that kind of translates and what you see as year-over-year growth in 2022?
Kyle Larkin: Yes. So, we -- as I mentioned before we're seeing really increased being opportunities across all of our markets today, which is encouraging. If you look at some of our bigger states, in terms of say California, we're seeing things come back, certainly on the public side. Caltrans lettings were actually up year-over-year and we anticipate based on SB1, their budget is actually improving over the next five to seven years. So we see that as being an encouraging sign. On top of that within our California market, we do see the private market coming back to some level in California as well. So other markets are strong. I won't necessarily go into the details of each one. But I think we are encouraged by what we're seeing. It seems like there was definitely a little bit of a slowdown last year. Again, with the inflationary pressures, supply chain issues, I think everybody paused, as well as wondering what was going to happen with the infrastructure bill. So now that that's behind this, it hasn't been appropriated. But I think the DOTs and agencies are starting to see where things are headed. So I guess to answer your question, in general, we feel pretty good about our markets today.
Brian Russo: Okay. And then just a follow-up on the SG&A, the 8.5% targeted revenue in 2022. Do you think that it gives you enough scale to then leverage off of what would be the implied absolute level of that SG&A we move into 2023 to support the organic growth?
Kyle Larkin: Yes, I do. And one thing that we did late last year is a restructure as part of our strategic plan to line things up around this core civil construction materials business. And we really kind of reorganized the organization. We found ways we could streamline things. And so that did result in a cost savings as you move into 2022. We believe that that's going to be scalable. And so as you look at the business long-term, as we grow the top-line, we expect that SG&A to come down.
Operator: [Operator Instructions]. The next question comes from Jerry Revich from Goldman Sachs. Please go ahead.
Jerry Revich: Lisa, why don't you just bridge the 160 basis point margin expansion target that you have it at the midpoint of the range? The ORP lack of losses there looks like it adds about a 100 basis points. But maybe you could put a finer point on that and talk about the improvement that you're expecting in the base business profitability and the visibility that you have on that? Thanks.
Lisa Curtis: Yes, definitely. So some of the -- some of the points or factors and assumptions that we use related to the mid-point I mean, as you mentioned, and I said in the -- mentioned in the talking point, if you know, for the ORP revenue, which is actually anticipated to be a lower component overall. We have no margin or breakeven related to that portfolio. We are working towards our strategic plan overall for all of our businesses is to be like in the mid-teens range, and we're working our way up towards that. But really, we're anticipating more in the 14% range in the guidance. SG&A is at 8% and 8.5%, which is pretty consistent with what we had for the prior year. And then from a weather perspective, we're not expecting necessarily a dry year, but we're also not expecting a lot of inclement weather. We did experience that more so in the Q4 that impacted our results, but weather is kind of more within normal lines with some impacts in Q1 and Q4. So those are some of the base assumptions for our guidance of 6% to 8% range.
Jerry Revich: Okay. And in terms of the first quarter, we've heard Omicron has really impacted absenteeism in parts of the U.S. Can you talk about whether you expect organic growth to be up year-over-year in the first quarter based on what you've seen so far? And if you can just put some parameters around first quarter margins because of seasonality, it can be pretty volatile year-to-year?
Kyle Larkin: Well, I think it's probably premature for us to really anticipate what Q1 is going to look like. I can tell you, December was very wet in the West. In December, we were lost most of the months in California. So far, in January, we saw a dry month. Recently, it's been wet and we've seen some winter, definitely some winter weather across United States with freezing temperatures. So I think that we've already seen some weather impacts in February. We'll see what March holds. But of course, in Q1 and Q4, we always have some risk with weather. So it's probably a little early for us to give any sort of indication there.
Jerry Revich: Okay. And maybe lastly, just a clarification, in terms of ORP backlog entering the year where was that Lisa entering 2022?
Lisa Curtis: Yes, so entering the year, we're at $319 million entering into 2022. And then we anticipate to burn through most of that through 2022 and have approximately $50 million entering into 2023.
Operator: This is the end of our Q&A session. And now I would like to turn the call back over to Mr. Larkin.
Kyle Larkin: Okay, well, thank you for your questions. To all of our employees, we appreciate everything you do for Granite every day. This year we celebrate our 100-year anniversary while we chart Granite's course for our next 100 years. We're well-positioned to capitalize on the numerous opportunities that are in front of us across all of our businesses in 2022 and beyond. And to the investors and analysts thank you for your continued interest in Granite. We look forward to speaking with you soon.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.